Operator: Good afternoon, ladies and gentlemen, and welcome to the AltiGen Communications Fourth Quarter and Fiscal Year 2021 results. At this time, all participants have been placed on a listen-only mode, and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Carolyn David. Ma'am, the floor is yours.
Carolyn David: Thank you, operator. Hello, everyone, and welcome to AltiGen Communications Earnings Call for the fourth quarter and full-year fiscal 2021. Joining me on the call today is Jerry Fleming, President and Chief Executive Officer; Mark Allen, our Chief Technology Officer; and I'm Carolyn David, Vice President of Finance. Earlier this afternoon, we issued an earnings release reporting financial results for the period ended September 30th, 2021. This release can be found on our IR website at www.altigen.com. We have also arranged a tape replay of this call, which may be accessed by phone. This replay will be available approximately 1 hour after the call's completion and remain in effect for 90 days. The calls can also be accessed from the Investor Relations section of our website. As a reminder, today's call may contain forward-looking information regarding future events and future financial performance of the Company.  We wish to caution you that such statements are just predictions and actual results may differ materially due to certain risks and uncertainties that pertain to our business. We refer you to the financial disclosures filed periodically by the Company with the OTCQB over-the-counter market, specifically, the Company's audited annual report for the fiscal year ended September 30th, 2020, as well as the Safe Harbor statement in the press release the Company issued today. These documents contain important risk factors that could cause actual results to differ materially from those contained in the Company's projections or forward-looking statements. Altigen assumes no obligation to revise any forward-looking information contained in today's call. During this call, we will also be referring to certain non-GAAP financial measures.  These non-GAAP measures are not superior to or a replacement for the comparable GAAP measures. But we believe these measures help investors gain a more complete understanding of results. A reconciliation of GAAP to non-GAAP measures, and additional disclosures regarding these measures are included in today's press release. Now, it's my pleasure to turn the call over to Jerry Fleming, President and CEO of Altigen for opening remarks, Jerry?
Jerry Fleming: Thank you, Carolyn, and good afternoon, everyone. Thanks for joining us for today's call. So, I'm going to begin the call today with an overview of our results, focusing on the numbers for the full fiscal year. Carolyn will then present a more detailed review of both our quarterly and annual results. After Carolyn's discussion of [Indiscernible] Mark Allen, Altigen CTO, to address the current state of various new solutions along with their associated delivery timelines. I'll then come back with closing remarks prior to opening up the call for a Q&A session. So, for our fiscal 2021 year, we reported revenue of $11 million compared to $11.8 million for fiscal 2020 year. Reported a GAAP net loss of 500,000 in FY '21 compared to GAAP net income of $1.4 million FY 2020. So, I'm just going to cut right to the chase here. These results are simply not acceptable. In the past several years, I think we did a good -- fairly good job of saying what we're going to do [Indiscernible] doing what we said. In FY '21, we did not do a good job with this. There's no change. I want to reiterate our commitment and expectation that we will double our revenues in the next three years. And by the way, that clock started ticking on October 1st, but that being said, these are the results we delivered.  And I do need to spend a few minutes discussing the reasons for our performance. In order to provide more color, I'll review our results by [Indiscernible] new category. So, product revenue for the year was down by approximately $300,000 versus last year, while software assurance declined by about $400,000 compared to the same period last year. As we discussed, these revenue streams are related to sales and support of on-premises systems, which we are no longer promoting for obvious reasons. Professional services revenue was approximately $100,000 lower than last year. As a direct result of fewer new on-premises systems to deploy. So, all of the year-over-year revenue declines are directly related to our legacy on-premises business. And in fact, those were expected as they are an inevitable by-product of our cloud transformation strategy.  Our Cloud services revenue was essentially the same as we posted, less just school year. For those of you who are glass-half-full people, flat Cloud revenues can be viewed as a positive, as it demonstrates that we are maintaining our legacy - base of Cloud customer. However, we all know that's not good enough. The core issue is evident, everyone, our cloud business needs to grow. Shortly, Mark and I will be discussing how we're going to do that and when we expect to start seeing contributions from our new Cloud solutions, but I can assure you we're not standing still. But before we get to those details, I'm going to hand the call back to Carolyn, so she can review the financials in more detail. Carolyn?
Carolyn David: Thank you, Jerry. Total revenue for the quarter was $2.8 million down 2% sequentially, and down 6% on a year-over-year basis. As we explained last quarter, our legacy products revenue continued to decline as we have moved away from potential software licenses and associated software assurance revenue in favor of a Cloud-first strategy. We expect this trend to continue until we start to ramp up revenue from our new products in fiscal 2022. Gross margin decreased to 1.4% compared to 77.2% last year. The decrease in gross margin was again, primarily driven by higher amortization costs for our capitalized software. And to a lesser extent, a shift in our product mix. GAAP net loss was $1.2 million or $0.05 per diluted share compared to breakeven last year. GAAP net loss and diluted loss per share were negatively impacted by a noncash tax-related expense of $1.3 million for the quarter due to expired net operating losses. On a non-GAAP basis, net income was $400,000 or $0.01 per diluted share compared to roughly $900,000 or $0.03 per diluted share in the same quarter. We continue to generate cash this quarter as we ended the year with $6.8 million in cash and cash equivalents. That's up $300,000 compared to the preceding quarter. This concludes the financial summary. I'm now going to turn the call over to Mark who will provide an update on our product road map, Mark?
Mark Allen: Thanks, Carolyn. Hi, everyone. Thank you for participating in our call today. Before we get started, just wanted to level [Indiscernible] our goal is to offer a complete suites of best-in-class integrated communications solutions leveraging Microsoft technologies. This strategy enables AltiGen to uniquely address the three major market opportunities comprising enterprise communications, unified communications as a service, contact centers as a service, and customer experience as a service, since all are needed in some form or fashion in virtually every organization. In today's call, I'm going to briefly review our solutions and targeted release dates for each of these three markets previously mentioned. But first, I want to discuss our overall strategy for how we're going to achieve this. With so many new solutions we have in the product pipe -- released pipeline, our strategy is to release solutions in 3 phases. Phase 1 is best-in-class baseline functionality. Our objective here is to introduce the first versions of our solutions at superior price and performance points that will drive new incremental streams for AltiGen. Products we are releasing or have released are currently in Phase 1.  This phase establishes a presence in the market and engages our partners and customers in the process. Phase 2 is extended functionality. This includes both enhanced functionality as well as add-on, fee-based applications. Examples of this include integrations with all-popular CRM platforms, real-time performance dashboards, and new desktop and mobile apps. These -- this phase [Indiscernible] on Phase 1 to further extend our reach into the enterprise. Phase 3 is conversational AI, analytics and machine learning. After that, we will be -- so after -- all of those we'll be introducing new AI capabilities such as chat and tech spots, conversation, keyword detection, and sentiment analysis. All of these solutions will enable AltiGen to deliver additional value for our customers while adding to our Cloud revenue, and position AltiGen as an innovator in the communications sector. So now for our product road map overview, first, our product is our service delivery Cloud. This is the first interaction and first experience our customers and partners will have with Altigen for ordering, provisioning, and supporting Altigen products.  Up to now, we have had individual portals or software supporting those aspects of our business. We have consolidated those services into one portal, move the architecture to the cloud, and prepared for automatic provisioning and integration with Microsoft's Teams store. All of these services are being integrated seamlessly into our billing platform. And all of this will reduce the time and effort to order and install AltiGen 's products and solutions. Second, Max cloud, to keep ourselves relevant and viable in our PBX market, we are introducing geo -redundant and scalable [Indiscernible] solution or platform as an evolution to our legacy PBX offering. The new solution is also multi-tenant, reducing our overhead costs and improving speed to deployment. This new offering is also in compliance with FiServ's banking security standards and will also be hosted inside their secured data centers. We have enhanced this with our new core view, you see more core view, unified communications and desktop application for omnichannel communication.  Third, we have exclusive distribution rights in the U.S. and the UK with a call centers or service offering front stage. We have currently integrated this into our legacy PBX offering and are managing the integration between it and our new Max Cloud offering and Microsoft Teams. Through integration with our other products, we will be adding AI capabilities to front stage as part of the Phase 3 deliveries. Fourth, on the list is CoreInteract. After a customer preview period, we released CoreInteract version 1 in late June. This first release was directly -- to directly improve upon Microsoft's routing [Indiscernible] and capabilities, historical recording, and give a customer a better way to configure these settings through our visual workflow builder. We have deployed 38 CoreInteract instances was 60% of those being resell partners, doing a proof-of-concept to plan -- on planning to take it into market. Due to the tremendous feedback from our initial release of CoreInteract, we are now working on a numerous integrated fee-based add-on applications to an enhance Microsoft Teams via CoreInteract and a short lift -- list of those are included here. Core View 360, the first one for Teams.  This adds CRM integration and other customer management capabilities and management capabilities and expanded details about incoming communication for CoreInteract to a Teams user. Second, work group insights for Teams, which is a real-time performance dashboard for each CoreInteract work group to monitor live data and promote action on SLA -based performance. And lastly, CoreAttendant, our most anticipated addition to the CoreInteract and Teams, we have added a Company operator console for Teams. This represents a large market who felt this was a gap in the Microsoft Team offering. We anticipated in being much further along in our Phase 1 release plans. Admittedly, we did not meet many of our projected delivery dates. I want to take a moment to update everyone as to what happened and the specific corrective actions we've taken. I will first comment on the Microsoft APIs which Jerry has discussed in prior calls. As you are probably aware, the critical graph APIs required to integrate with Teams came out much later than had been announced, but those are now generally available.  That being said, for companies like AltiGen, which are developing natively integrated Teams application, there's still some limitations with the Team s ' APIs or lack thereof. The corrective action we've taken was to invest additional time and resources to re-architect around these issues. We believe all of these issues are now resolved. Second, as we've rolled out the initial release of CoreInteract, we found that customers really like the base product. But many of those customers require one or more of the advanced features and applications, which we are not or which were not part of the initial release prior to implementing CoreInteract in their production environments, which has contributed to the delays in the ability to recognize the revenue. All of these issues have been identified and are actively in development, are going through quality assurance, and will be sequentially released over the course of the next 30 to 60 days. Finally, in retrospect, we underestimated the effort to get so many solutions released and then their relatively narrow window of time. This combined with the additional time and effort required to architect around some of the Teams ' API issues, simply put too much load on our development organization, more or less all at once.  As a result, we missed our targeted release dates. To address this situation, we implemented comprehensive corrective action plan. First, we realigned our development organization into smaller teams, each laser-focused on specific solutions set. We also assigned a number of our developers who previously worked on AltiGen 's legacy PBX solution to these new solutions. And in the past 6 months, we've also doubled the number of developers in the poll. Finally, starting immediately, we have engaged in Microsoft -recommended consulting organization to review our application, architecture and processes. Based on all of these changes, we're confident that we have the appropriate resources and processes in place to consistently deliver on our schedule release. We expect that Phase 1 applications to -- we expect the Phase 1 applications to be released either later this month through early next quarter. Phase 2 and Phase 3 solutions, I briefly mentioned, are slated for calendar Q2 and Q3 respectively. And with that, I'll turn it back to Jerry.
Jerry Fleming: Thanks, Mark.
Mark Allen: Jerry. Yes.
Jerry Fleming: Thank you. Nice review. Now, I am going to go off script here for a moment and I'm going to go out on a limb here and say, based on that detail review, we're probably getting an unprecedented number of downloads of the transcript, right, to follow all those releases, but suffice to say, we -- I think, and I'm still off script here. We've just had more things we had to come out with than we originally anticipated. But let me get back to the task at hand. Based on Mark's discussion, I do want to comment on the number of fundamental changes that we've made in our development organization. And I want to take a few minutes to talk about the impact on expenses. Over the past several months and the next few months, many of our legacy PBX developers have or will be assigned to work on our new solutions. Those legacy PBX developers, whose skills are no longer a fit with our strategic direction, have been and are being transitioned out of the Company. On the other hand, the significantly lower cost basis for top quality developers in the poll has enabled us to not only more than double our development headcount there, as Mark mentioned, it also enabled us to continue to expand that organization, which we're projecting by another 25% or so in this fiscal year.  Now, for all of that, we are projecting a net savings, not expense, but net savings of just over $500,000 in FY 2022 as a result of these changes and moving to a lower cost structure. At this time, I'm going to address a few topics related to our overall strategy and business progress. First, I do want to point out that we are continuing to see an excellent reception for our solutions, most of which as Mark discussed, to an alpha or beta testing by customers and/or our reseller partners. Probably the best supporting evidence is that, we now -- we are now actively engaged with more than 80 partners who plan to sell the solutions Mark covered with over 100 opportunities in the sales pipeline. Now, these opportunities range from small to mid-size businesses, to large enterprises in organizations, in both the U.S. and the UK. And I think that also highlights the fact that our strategy is spot on. To brief with the recap, our solutions are uniquely designed to address the 3 significant segments of the business communications market, as Mark pointed out, UCaas, CCaas, and customer experience as a service. Within these segments, we're not trying to compete with everybody.  We focus on Microsoft customers and generally -- in general, and more specifically, those customers looking to deploy Microsoft Teams. In its simplest form, we positioned ourselves as the one-stop shop for customers interested in a complete Microsoft -based communications solutions. Whether customers want to natively integrated Team solutions, which many do and perhaps most do. Or they want to solution, which leverages their investments and other Microsoft infrastructure technologies, AltiGen is able to uniquely deliver on that promise. It's also important to note that, a key component of our strategy is to deliver solutions, not just products and we've been a product Company. And perhaps with the exception of very large enterprises, most companies don't have a bunch of IT people sitting around, waiting to deploy new software solutions. Instead, they rely on the vendor to deploy, integrate, train, and support those new solutions. In the Microsoft customer world, this requires expertise in Azure, Microsoft 365, Teams, SharePoint, Power BI, Bot Framework, and other Microsoft application and infrastructure technologies. As a product Company, we just haven't built those skill sets. This is why we've been actively engaged with M&A firm to identify Microsoft partners who do have these skillsets. And we announced this way, I don't know, 9 months or so, that we've engaged with M&A firm.  And after reviewing many such companies with this firm and personally meeting with more than a dozen candidates, we're now down to the shortlist. Due to confidentiality restrictions, I can't reveal much more information than the fact that these candidates meet hand-in-glove the requirements I discussed. But I can say we are actively involved in real terms and business integration discussions, and at the point we're able to reach a definitive agreement, we will make a public disclosure. To a close, I do have a couple more comments. Most notably, we haven't done a great job of communicating our progress with our shareholder and investor community. As we roll out our new products, certainly securing strategic wins will change that. But during the process, it will be a little bit more difficult while we're still just doing pilots and trying to queue up opportunities. So, in the meantime, we've also started a monthly investor newsletter, which we issue twice monthly, in which we feature a new AltiGen products each month, which is typically hosted by Mark and we call it Tech Talk. And we follow that that same month with a spotlight on a particular customer reseller, generally covering that same product topic. To give you the customers are resellers perspective.  If you haven't subscribed yet, I certainly encourage you to visit the AltiGen Investor Relations web page to sign up for that so you can start getting regular news on our progress. In addition, we are planning a Virtual Investor Conference for the end of January. During this event, we are planning to have a few industry experts, speak on topics germane to our business. We'll also plan to have guest speakers from current customers and resellers to give you their perspective on our solutions. You'll also hear from members of the AltiGen executive management team, who will provide details regarding our business plans and opportunities, and this will also include live demonstrations of all of our new solutions so you can put those in perspective. Please stay tuned for the announcement made of it. Finally, while we continue to believe our solutions and strategy are spot on, it's not lost on us that our execution is not where it needs to be. The fact that we haven't done that rests squarely on my shoulders. It is my job to make sure we're hitting on all cylinders, which I fully expect we are going to do moving forward. So, at this time, I'm going to turn the call back to the operator for Q&A. Operator?
Operator: Certainly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from Tayo Ismail. Your line is live.
Tayo Ismail: Hi, Jerry. Thanks for all the color for the quarter and the year. Just was hoping to get a little bit more color on the pipeline that you mentioned earlier. What deal sizes are you guys seeing with the customers you guys are talking to? And maybe just a little bit of color around that would be helpful.
Jerry Fleming: Yeah. Hey, Tayo. Thanks for that. It's -- here's what we are going to avoid, honestly, is getting into a forecast review session on our earnings calls, but I'll do my best here. And we do have a multitude of new products coming out. So, when you say what does the pipeline look like, it varies by product. So, we have opportunities with our own base to migrate to the new UCaaS platform, opportunities with FiServ to migrate to the platform, opportunities to migrate to the contact center, front stage contact center, on that platform, opportunities to migrate to front stage with Teams, CoreInteract for Teams and the operator cancel for Teams. So that becomes a really broad question and I'm happy to try to answer that. So maybe I can -- that's why I gave more of a general answer on overall opportunities that we have in the pipeline that are essentially related to our Teams Solutions. I've been and I mean, honestly have been slapping a bit, but I service 8-K. You guys can't give a forecast on our customers, right?  So, I have to dial that back a little bit from work then on previous calls, but I'm certainly happy to report that what I will report going forward is on the PBX side, right, the new UCaaS platform with front stage. I will combine that with AltiGen 's own performance so I'm not calling out a particular reseller. And we have a significant pipeline of current customers on-premise. And on the cloud to migrate to that platform, as well as we've secured, I think it's 3 or 4 contracts now for front stage sitting on that platform as soon as these customers migrate and we haven't even launched it yet in a private phase. On the CoreInteract side, most of the resellers I'd mentioned, they're coming on with us because of CoreInteract. And so those 80-plus resellers and 100-plus opportunities are generally CoreInteract -oriented.  Now, they can be, as I mentioned, must be some small SMB customers from a customer perspective, and they can be some pretty large enterprises. I think the largest enterprise has something around 50,000 employees that we're talking to. From a reseller perspective, they can be anywhere from a couple of million dollars in revenue, couple hundred million in revenue, or a couple hundred billion in revenue. So, it's really difficult to give you, let's say, an average. Because I'm assuming that the guy that's -- the $100 billion is going to probably do more than the guy that's $2 million. But these are all just launching right now. So, it's -- I'd like to give you more color. I don't know quite how we can do that in advance of us booking business and be able to report on results.
Tayo Ismail: No, that's super helpful. I appreciate that. And just a last question from me. You mentioned the net savings of $500,000 for FY'22. So, is it fair to say that we should expect a pick-up in profitability, sequentially, in the next coming quarters?
Jerry Fleming: Well, it certainly safe to say that we expect to be much more profitable in FY'22 than FY'21.
Tayo Ismail: Got it. Thanks a lot.
Jerry Fleming: Yeah, you bet, Tayo.
Operator: Thank you. Your next question is coming from Neil Cataldi from Blueprint Capital Management. Your line is live. Neil, your line is live. Your next question is coming from Vipul Patel. Your line is live.
Vipul Patel: Hi. Hey, Jerry. This is Vipul. I have a couple of questions. My first question is related to R&D cost and it is 35% of the total sales, which is around $3.8 million compared to 22 percentage of sales. And I assume it is because of a lot of elements around CoreInteract, FrontStage, and that of enhancement for FiServ. Can you please provide what will be R&D cost next year and maybe next 2 to 3 years?
Jerry Fleming: Sure. Thank you for that detail question. I may have to defer to Carolyn. Let me give you a high-level answer then I'll refer to Carolyn. So, I think the -- actually, the lion's share of the R&D expense that we experienced in FY'21 was related to our legacy Maxias product. And as I mentioned during me during my segments, a lot of those folks are being transitioned either to work on the new solutions, or if their skill sets don't match, we're doing -- we're going forward because of these Microsoft technologies, then they'll be transitioned out the Company, and we expect to see the savings of 500K in that engineering department. Now, right now, that's the best forecast I can give you for -- if you look at our engineering expanse -- R&D expense for FY'21 versus FY'22, we don't have one beyond that. But I that I can tell you is that there are R&D expense, as a percentage of revenue, will not be as high going forward as we've seen in the past. But Carolyn, would you like to add any color to that?
Carolyn David: That's very actual. I agree with that
Vipul Patel: Okay. Thank you.
Carolyn David: Yeah. We will -- we are going to continue to invest in R&D efforts, but at the same time, we're very budget-conscious, so we will continue to keep our eye on the expense line as we manage revenue here.
Vipul Patel: Is it safe to say that it will be less than 25 percentage of sales?
Jerry Fleming: Go on. Why don't you comment, Carolyn? We don't have a percentage right now that we're targeting other than outside of this year. Things change. That's a long time. But safe to say, there's going to be lower than it has been.
Vipul Patel: Okay. Thank you. And then there is onetime cost of deferred tax asset, which is liking on tax expense of $1.2 million. Now, I was looking at the balance sheet, there is still deferred tax asset of $6.5 million. Do we expect to have repeated tax expense in the future similar to what we have done in this year?
Jerry Fleming: Well, that wasn't really a tax expense, right. And Carolyn, can you please comment on that because I'm not a financial person, everybody. I don't like that particular way of accounting, but we are required by the FCC on pardon me, by at least by the GAAP accounting rules to that. But Carolyn can certainly provide more color on that and it's the real relevance to the business operations.
Carolyn David: Sure. Thank you, Jerry. As long as we -- that is a non-cash tax-related adjustment. And as long as we continue to generate profits, I think we will secure that deferred tax asset. And so going forward, looking out 12 months, I don't anticipate that we will book a large adjustment. But again, that's speaking as of this point in time. So based on our forecast and projection, we don't anticipate a large adjustment next year.
Vipul Patel: Thank you. And my last question is related to gross margin. Consistently, we have seen gross margin in the 75, 77 percentage. So, what do we expect in next 1 or 2 years considering that we are in 71 percentage as of now or maybe in the last quarter and 72 percentage this year? Thank you.
Carolyn David: We don't anticipate a huge shift. However, it's too soon to make a projection. We do plan on keeping a close eye on the margin deviation over the next 2 quarters. But we don't anticipate a huge swing.
Jerry Fleming: Maybe I can add to that, Carolyn, if it's okay with you that a lot of the higher-margin business guys was because our on-premise software sales. Our on-premise software sales and our software assurance are virtually 100% gross margin. But we get no growth out of that business. So, as we go forward, yeah, we're going to be closer to 70%, not 75% because we do have additional cost to deliver those services. But on the upside, if revenue numbers are a lot higher, in the gross, dollars are a lot higher. So that's the trade-off that is going to occur and we're perfectly happy making to generate additional gross profit.
Vipul Patel: Okay. Thank you, Jerry and Carolyn, and all the best.
Jerry Fleming: Thank you.
Carolyn David: Thank you.
Operator: Thank you. Your next question is coming from Neil Cataldi from Blueprint Capital Management. Your line is live.
Neil Cataldi: Hey Jerry. Hope you can hear me now.
Jerry Fleming: Yes. Hey, Neli.
Neil Cataldi: Well, first off, thanks for the transparency tonight. I think you guys have done a great job of really sharing information on what has taken so long and where this is going to potentially go in the next year or 2. I think, the big question investors want to know, is when there will be this 1st inflection point revenue will start to accelerate. That being said, you mentioned, you're doubling the revenue in the next 3 years earlier on this call. But in Investor Conference in September, your investor deck showed a 30% compounded annual growth rate over the next 3 years. So, my first question I just want to confirm this 30% growth rate and I'm coming at this having built the model myself and just trying to think about is it still 2 years, 3 years away or is it actually going to be in the next 12 months?
Jerry Fleming: Well, okay. I'm from the school of horseshoes when it comes to math and sorry, Neil. In my opinion, doubling revenues in 3 years is the equivalent of 30% incremental growth over 3 years. So, to me, those are the same -- that is the same commitment. And that will come from both organic -- expectation both organic and inorganic growth. Now, are we going to achieve it? Now, if I were to put the number out there and said I'll do it in 3 years, but hey, on the side, I'd say, hey, Neil, I think I'll do it in 2, well, I can't say that right now. So, what I can tell you highly confident, we're going achieve that number at that 3-year -- that -- on or before that 3-year mark.
Neil Cataldi: Got it. Okay. That's great. And so, regarding the acquisitions you mentioned, can you elaborate at all on the sizes, and I think importantly, will the deals be creative?
Jerry Fleming: Sure. That's fair questions. Yeah, they're a little bit of rain share with, I would call, these companies that we're looking at in the mid, single-digit millions of dollars in revenue. Employees -- it depends on the Company, 20 to 30, I think is probably a good number. And absolutely, there is no Company that would even make our shortlist if it wasn't profitable and would not be accretive, obviously, from revenue perspective that will immediately accretive, but also from net income and EPS perspective. So those are all high on the list. And of course, right, that those are the financial metrics, the business metrics, or are they need to meet the requirements and adding those skill sets, delivering those services that I had called out at my session. That our customers are looking forward that we can deliver to customers that, not only say, hey, great, hey, we can sell more, but it becomes additive because we can win more deals by delivering those services, and we have stickier customers that grow. So, it becomes -- and our objective is a 1 plus 1 equal 3, with that type of organization, and those are the companies we think we've identified.
Neil Cataldi: Got it. That's great. Just a couple more if I may. I think the first question I asked you to maybe elaborate a little bit more on the opportunities you referenced, it sounds like some of these opportunities could be in excess of 15,000, 20,000 seats. And I'm just curious, having been an investor here for a few years, we've never seen you really be able to sell into larger enterprises like that. So, what has changed, is it just the value prop of the technology? And do you think that as you scale over the next few years, your products are really going to start to find a home with larger enterprises than what you've been accustomed to selling to previously?
Jerry Fleming: Okay. That's fair. Let me just take that one head-on. No, you have not seen AltiGen recognize a lot of revenue. Let me clarify. You've just seen -- you've not seen AltiGen recognize a lot of revenue in the larger enterprise accounts. We do have people, including myself, that are well experienced and we have had successes in very large enterprise accounts; some big companies that have deployed our solutions, we just didn't have the proper solutions to maintain those customers. With CoreInteract and with FrontStage, we do, but I'll be honest with you, we're -- I'm happy to have a very large enterprise, global customer that's really not our target. Our target really is that mid-size enterprise, 5,000, 10,000 employees, right, that they don't have 10,000 -- or let's say in some cases 5,000 people -- 50,000 employees, 5,000 people in our IT department, they've got more people running around to go support stuff, right? They're going to go build their own stuff, or choose and integrate their own stuff. We're looking at more than mid-market and we can well support those people.  And with our operations in UK, with our development in Nepal, with our capabilities for support and operations in Taiwan, we can actually now support, now we've gone to the cloud, we can actually provide the 24/7 financial support that these companies looking for. We've -- that's one thing we've not been able to do in the past. And I have to say, that's probably our biggest downfall. We would sell something to a UK or Europe organization and they'd call up and say, ''You guys are a sleep. I had a problem. You guys in California are sleeping.'' We just didn't have the resources to properly staff, but that's changed. And so that combined with being an Azure, this makes it so much more supportable in our direction now and we're target enterprise, right? So yes, we'll sell those small customers, but our solutions are targeting enterprise.  We know what they want, we know how to support them, and we will see the enterprises adopting new solutions because what we're delivering in terms of CRM integration and the, let's say, contact center capabilities that are at the $200 price points, about 5 and 9 are in contact. Very good products, but they can't extend outside the contact center because they're too high price for the enterprise. And we're targeting just under that, and these large enterprise organizations have hundreds, if not thousands of people, sitting underneath that contact center that need the capabilities, but they can't deploy them today. So that one I guess, I'm just going to have to tell you Neil, trust me and we are going to penetrate that market. This is -- no one has done it right now. This is the wide-open Greenfield opportunity, where we are so excited about CoreInteract. Nobody has figured it out and we think we have.
Neil Cataldi: Got it. That's great. Well, listen, the market cap today is $40 million. I think you've got almost $7 million in cash on the balance sheet, no debt. I think the core business alone justifies this current market cap and you're not really getting credit for any of these growth opportunities. So, I appreciate the transparency and I look forward to seeing how you guys can execute over the next year and I'll be in touch.
Jerry Fleming: We appreciate your support and let me put it this way, we are going to execute. You can count on that.
Neil Cataldi: Thanks, Jerry.
Jerry Fleming: Yes. Thank you.
Operator: Thank you. There are no further questions in the queue. I will now hand the conference back to Jerry Fleming, for closing remarks. Please go ahead.
Jerry Fleming: All right. Well, thank you, operator and hey, thanks everybody for joining our call. I think Neil was correct here. We tried to be more transparent on this call than on prior calls and we'll try to continue that going forward and we're certainly looking forward to providing more business metrics. I know I couldn't answer some of the questions as much as I'd like. I really want to be able to tell you guys, these are the deployments, this is the backlog, and here's the average revenue per user as we roll these things out, and I can assure you we will do that as soon as we start to have these roll outs. I think we're real close to these deployments. We've been working on them a long time. Yeah, admittedly, we haven't hit those dates, but based on changes Mark discussed, we're right on the cusp. So, I think we're actually expecting very big things ahead. So, appreciate your support and look forward to updating everyone on the next call. Thank you, guys. Have a great Merry Christmas. Happy holidays. And look forward to talking to you in January.
Carolyn David: Thank you, everyone.